Operator: Good day ladies and gentlemen andwelcome to the Las Vegas Sands Corp Earnings Call. My name is Solomon and I'llbe your coordinator for today. (Operator Instructions). I would now like to turn thepresentation over, to your host for today's call Mr. Bill Weidner. Pleaseproceed sir.
Bill Weidner: Thank you Solomon, and thank youall for joining us this afternoon or evening. We apologize for the slight delayhere and I guess there was bit of a traffic jam at the call center, but lasttime we checked there only 10 people in queue, so we will get going. With me here today in the Las Vegas area is Mr. Sheldon Adelson, our Chairman; BradStone, Executive Vice President; Rob Goldstein, President of The Venetian in Las Vegas; Scott Henry,Senior Vice President; Bob Rozek, Chief Financial Officer; and Dan Briggs, ourVice President of Investor Relations. Before we begin I do need toremind you that today's conference call contains forward-looking statementsthat we're making under the Safe Harbor provisions ofFederal securities laws. I would also like to caution youthat the Company's actual results could differ materially from the anticipatedresults in those forward-looking statements. Please see today's press releaseunder the caption forward-looking statements for the discussion of the risks thatmay affect our results. In addition, we may discussadjusted EBITDA, adjusted net income, adjusted EPS and adjusted propertyEBITDAR, which are non-GAAP measures. A definition and reconciliation of eachof these measures to the most comparable GAAP financial measures are includedin the press release. Please note also that this presentation is beingrecorded. By now, you should have allreceived our press release detailing our financial results for the thirdquarter of 2007. We’ve put quite a bit of detail on our release today and thenumbers speak for themselves. So we’ll keep our prepared remarks short,beginning with some highlights for the quarter, moving on to a few concludingthoughts and then we’ll move on to your questions. In Las Vegas the story of the quarter is prettysimple, everything is up with the table hold. Other than that, the property isfiring in all cylinders as we prepare to open the Palazzo in just seven weeks.Gaming volumes set third quarter records, while hotel ADR and occupancy statisticswere also record-setting across the board. Our entertainment offeringscontinue to mature, our upgrading and re-merchandising of property have beenincreasingly successful and we have had much momentum as we prepare for thePalazzo opening on December 20th of this year. At the Sands Macao, ouryear-on-year increases in our VIP gaming revenues were normalized for hold, andmore than made up for the weaker mass market revenues, as mass customers sharemore their gaming time with new entrance to the marketplace. We’re satisfied with theresiliency of the Sands as our VIP business remains robust. Both before andsince The Venetian opening and our mass settled in approximately $800 million.It's important to recognize that the drop represents the largest portion ofcurrent mass market business for any single property at the marketplace, andmore than twice the amount any of our nearest competitors. We opened the 238 suite hoteltower at the Sands of September 28th, and in the month of October,we’ve seen significant increases in our high-end mass table drop, as a directresult of the edition of those rooms. We remained convinced that the nowcompleted Sands product offering with more amenities like our 25th floorgambling club will be a formidable competitor on the Macao Peninsula for yearsto come. Turning now to the VenetianMacao, some of the notable items from the opening of The Venetian Macao includenearly four million visitors in the past 65 days of operation. Strong hoteloperating performance for with ADR north of $200 and occupancy of our 3000suite hotel growing from 77% in September to over 86% in October, while REVPAR startedthe $161 million in September and expanded nicely to $179 million in October. There were outstanding retailsales figures at the Grand Canal Shoppes with more stores opening in the weeksahead and greater visitation. Circulation increased traffic flow, to come, aswe open the remainder of the mall. A tremendous reception for entertainmentofferings including the NBA China games, Black Eyed Peas last week and thenBeyonce, which is expected to be a sold out performance this Saturday evening. Our group meeting at conventionbusiness was also off to outstanding starts, with more than 200 group meetingset to occur and The Venetian Macao of the fourth quarter alone, along withseven trade shows this year at approximately 30 trade shows booked for 2008. And finally, our VIP volumes havesignificantly exceeded our expectations and our non-rolling table game drop issteadily increasing, just as it did at the Sands in the early days. It was upover 32% in October when compared to September. So the transformation of themarket is coming on strong and The Venetian Macao is paving the way. And asdramatic that this transformation is, we are clearly just at the top of thefirst inning, we are quite literally just getting started. Looking ahead, our investmentsand infrastructure, including our soon to be launched ferry services in HongKong harbor, Hong Kong airport and the new Pac-On ferry terminal at Taipa, willdrive increases in both customer visitation and in customer satisfaction with Macao as a destination. While we are making additionalinvestments in Macao's infrastructure,including the expansion of ferry services, additional buses and planes are tobring new first time visitors to Macao.These will also serve to drive visitation, increase customer satisfaction, aswell as elevate the status of Macaoas a leisure and business destination. Our marketing and entertainment activities,sports such as soccer, basketball and tennis and entertainment attractions likeBeyonce, I just mentioned continue to put Macaoon the map, as the destination for leisure and entertainment, in Asia. These high profile events were just the beginningof a series of activities position The Venetian Macao as a just first true Las Vegas style,multi-night stay destination resort. With respect to the retailprogress at The Grand Canal Shoppes in the adjoining mall of the Four SeasonsMacao we are over 150 stores in food and beverages open now, up from a 130 atthe grand opening on August 28, representing approximately 350,000 square feetincluding shops and restaurants that were on the main casino floor. We expectanother 350,000 square feet will be opened before the end of the year, with theremaining space set to open in early 2008. The 211,000 square foot shops atthe Four Season Macau, featuring prestigious fashion and luxury brandsincluding Armani, Cartier, Dior, Fendi, Gucci, Aramis and many others whichwill directly connect to the shops at The Venetian Macau will open in latespring 2008. Our average base minimum rentsfor The Grand Canal Shoppes and the shops at the Four Seasons Macau continue toexceed a $135 per square foot. While our early retail sales numbers give usconfidence that the mall will be an extraordinary economic success, as well asa powerful attraction for Macau. Moving on to our proposeddevelopment of Trade Shows at Convention Destination, Hengqin Island,our development team continues to extensive collaboration with the projectcoordinating committee and their consultants. Those plans are currently beingintegrated into the overall plan for the development of Hengqin Island. At Singapore our constructioncontinues to advance at a steady pace. As we mentioned in our press release wehave now completed terms with over 100 retailers and others to hope to betenants in our approximately 800,000 square foot mall at shops at the MarinaBay Sands, and at rates far in excess of rates in any other major market inAsia, reflecting the tremendous potential for our unique retail assetdeveloping there. We remain on track for an openingof Marina Bay Sands in late 2009. In Bethlehem, Pennsylvania, we received siteplan approval from the city and are now moving forward with construction there. That concludes the highlights. Weare clearly executing across the board, but before go on to the Q&A let mesummarize how we feel as a company and as a management team. First, in Las Vegas our properties are performingexceptionally well, and on December 20, we will preview the 3068 suite Palazzo,ramping up to full power in the first quarter of 2008, to extend our successfulbusiness model here, driving growth while capturing the efficiencies manifestedin our master plan. The Palazzo will feature even more products, specificallydesigned to appeal to our increasingly important high-end Asian gamingcustomer. On the Macao Peninsula,we will continue to reposition the Sands and capture more operatingefficiencies and on Cotai we will continue to dial in the various synergisticprofit centers for The Venetian Macao. The rooms, the retail, theentertainment, the convention, the trade shows, the VIP table business, masstable business and slots, to maximize revenues and income as we completeadditional infrastructure and product features. Retail outlets, as well as ourpurpose build 1800 seats showroom to drive traffic into the facility. We’ll convert the pre-bookedbusiness, our tour and travel book, our convention book, our contracted tradeshows to operating profits, which will ramp up occupancy ADR and also continueto grow our VIP and mass market volume. This is all while executing ourconstruction plan to fully develop the potential of Cotai Strip, Asia’s Las Vegas. We remainconfident that the execution of these plans will lead to superior returns forour shareholders. And with that I want to now openthe line; I am sure for any questions that you may have to ask our managementteam. Thank you.
Operator: (Operator Instructions). Yourfirst question comes from the line of Larry Klatzkinwith Jefferies & Co. Please proceed, sir.
Larry Klatzkin - Jefferies & Co.: Hey guys. Could you guys quantifywhat you think how effective luck might have been on you if you would actuallyheld 3% in Macaoand held your normal percentage in Vegas what you might have seen?
Brad Stone: I started with Vegas, Larry thisis Brad Stone. Yeah, we dropped $356 million; our mid-range of the normalizedhold is 21% here in Las Vegas.That would have made a difference of about $24.3 million in revenue andsurviving that would be at the high end and discounts along projecting atroughly a 50% profit margin, we made a difference of approximately $12.5million here in Las Vegas. You look over to Macao and you look atthe Sands first of all, if you look at surely adjusting the whole percentageagainst the roll, would have made a difference of about $9.3 million in revenueat the Sands property during the third quarter. Obviously, dramatic differenceon a year-to-year basis, because we held 4.22% and that is a much more dramaticnumber having an impact of about $83 million on year-to-year basis. If you lookat the actual hold and roll in at the Sands Macao in '06 versus the actual rolland the 3% hold in the Sands in '07. At the Venetian Macao we held about 2.44%versus the 3% that was a difference in win of about $26.6 million.
Larry Klatzkin - Jefferies & Co.: Alright and so in the case of badluck in Macao you still pay the 39% tax so it’s about, what you say again about50%?
Brad Stone: If you look at the Venetian youtake out the tax, it's about a $16 million EBITDA impact for the 34 days thatwe are reporting under this period. And at the Sands, Macauwould be a difference on a taxation basis of about $26.2 million. On ayear-to-year basis, on a normalized basis of about $5.7 million.
Larry Klatzkin - Jefferies & Co.: Alright, so we’re lookingsomewhere around $30 million of bad luck. Okay. Brad.
Bill Weidner: Larry, I would add to that,inconsistent with our last conference call, the plan in Macauat the Venetian was to open [four] more as we add to for the opening on the 28to 29. It then backed down to approximately 50% occupancy, while we trainedpeople, because we couldn’t do any pre-opening training. So, that will rampback up at the end of the month so we end up with a stronger occupancy than wehad anticipated ourselves. For a lot of the day of the month we purposely heldback in order to be able to the pre-opening; soft opening that we could havedone or we should have done, if we could have. So it’s hard it use that asmeasurement criteria, I don’t know how to measure that. I think partially theincrease in the mass business of 32% from September-October had a lot to dowith the fact that we didn’t have people in those rooms while we were trainingpeople and while we were getting ready for them, will be ready for the MIF showand the more, call it sold out condition on the second half of October.
Larry Klatzkin – Jefferies: Alright and then as far as timingof future projects, Four Seasons, sites five, six what would you well Bradcould give us on that kind of stuff?
Brad Stone: Okay. Four Season project isscheduled to be completed in April with that being the Four Seasons Hotel andthe mall space and opening late April early May, as we turn that over tooperations. The condo tower, which is part of the Four Seasons complex, will becompleted at the end of the year. Sites five and six, which is the Shangri-La[Sheraton] complex. The first phase of that project which include theShangri-La Traders and Sheraton Towers Complex, it’s schedule to open in May of'09, with the second part of that project as you know we went ahead and we arebuilding out the St Regis Residence as well as another Sheraton Hotel, thatcomplex will open approximately four months to five months later.
Larry Klatzkin - Jefferies: Okay. And how about '07 and '08,or that's just too early to say that it?
Brad Stone: '07 and '08 is, we are looking tostart construction on that project next month, in terms excavation and pilingwork at the beginning of the year and that probably would be 32 months fromnext month.
Larry Klatzkin - Jefferies: Okay. 32 months alright, and thenas far as the story goes I understand Hong Kong is now realizing that they canactually get hotel business by connecting to your convention centers, does thatmean that the Ferry Terminal is going to start working at this point?
Bill Weidner: We received the license from Macao. The procedurethen is to submit that license to Hong Kong.And when I talked to Steven this morning, he said he has still not heard,although he talked to the coordinator in Hong Kong and they are working on theapproval of that permit from Hong Kong.
Larry Klatzkin - Jefferies: Alright. And in October, Iunderstand did you also have some bad hold in October in Macao?
Brad Stone: We are not going to discuss theOctober’s hold Larry at this time.
Larry Klatzkin - Jefferies: Okay. That’s fair. Alright, Iwould allow other people to ask questions. Thanks guys.
Operator: Your next question comes from theline of Harry Curtis with J.P. Morgan. Please proceed sir.
Harry Curtis - J.P. Morgan: Good afternoon. I am wondering ifyou could give us a sense of trends in the convention business in October. Whatimpact has it had on your visitation? What impact also has it had on yourcasino volumes primarily mass, as well as other segments like retail, and food,and beverage?
Sheldon Adelson: This is Sheldon Adelson; I justwanted to say that we are having an internal eternal discussion about what wecould say about October. What I would say is that, having more internaldiscussion.
Bill Weidner: Probably let's avoid it for a fewminutes and then queue it okay so you can.
Harry Curtis - J.P. Morgan: Well here's what I was followingup and you would though you had made a comment that VIP was up 32% in October?
Bill Weidner: No I said mass business was up.
Sheldon Adelson: Mass drop Harry, that was 32% inOctober at the Venetian Macao compared to the (inaudible).
Harry Curtis - J.P. Morgan: Okay. I misunderstood I thoughtthat was VIP.
Bill Weidner: VIP, Harry going back to yourquestion.
Sheldon Adelson: We could say something here, VIPwas up, mass was up, we believe that all of the elements of the Venetian Macaowere up in October versus September.
Harry Curtis - J.P. Morgan: Okay. I am just trying to get asense of the impact of some of these new resources of business that you didn'thave in September?
Brad Stone: If we look at our group businessHarry in the month of October, we had about 18,000 room nights that camethrough, out of the total of 71,000 occupied guest rooms. So in the range ofabout 20% to 25% of our total room nights. It's hard to distinguish obviouslyother than try and visually account for what the impact is in terms of casinopour. Obviously that business will primarily affect the mass. And as Bill said on a sequentialbasis mass business is up 32%. Part of that combination as Bill said is moreoccupied room nights, as well as, it could be a factor, that the quality of theconsumer that’s coming into the property. And obviously as we occupy more roomnights at the property, there is a higher capture of that budgeted play,particularly on the mass side. Additionally we are starting theevents. We did have some events in the month of October that stimulatedbusiness such as the NBA. The Kenfair was a huge success in terms of drawingand I guess you got to segregate that from room nights that the Kenfairgenerated significant visitation, many of which did not stay in the Venetianhotel rooms. So, more traffic to the building,particularly on the mass, high margin mass plays a good thing, as those showsstart ramping up, that means a lot of people coming through the doors. Besidesthose that are just the mass base business that you already see every here in Macao. And we lookforward to, I think next year we have 17 major, we consider significant shows,30 shows in total, but 17 full hall type shows, that should generatesignificant visitation to the property and that continues to ramp up.
Harry Curtis - J.P. Morgan: And then my last question had towith Sands. The EBITDA number even adjusting for hold was so much below wherewe had expected. And I’m trying to get a sense of the sequential decline frombefore Venetian was open. If you could us a sense of, is the sequentialweakness more VIP, is it more mass, if it's more mass what is you plan? And ifyou can include in your response the impact of the new hotel tower.
Bill Weidner: Sequential stock in second orthird quarter, we have, we did it year-on-year.
Brad Stone: Right.
Sheldon Adelson: So, Harry the big picture, we’vegot the mass market going from about $900 million in drop in the quarter endedJune 30 and about $800 million in drop in the quarter ended September 30. Withthe Hotel Toweropening at the end of the month there in September and October, we’ve seen thatthe high-end of mass has actually increased substantially, once that Hotel Towerwas opened. The lower-end of mass has more or less stabilized in the month ofOctober compared to September, but there are the big broad strokes on the massmarket piece.
Harry Curtis - J.P. Morgan: And would you say that you’retrending in terms of the quarterly drop back to the $900 million or are youstill somewhat below that?
Bill Weidner: Oh, how we answered that. We arenot really giving you any the forecast on the fourth quarter.
Bill Weidner: And we’ve been talking a bitabout the month of October we can give you a flavor of how we’ve responded postthe end of the quarter, but we don’t want to give you forecast for the entirefourth.
Sheldon Adelson: I think the important one andthat’s very important point, it's somebody hasn’t asked, how is the Sandsimpacted by the opening the Venetian? In September the attendance at the Sandswas down by about 1.7%. And in October, it is year-to-year I am talking about,October it’s up approximately the same, so there is about a 3% swing on theattendance at the Sands. From September to October in theVenetian there was as significant, and I would say significant, I mean notsingle-digit, but double-digit increases on the roll and to answer Larry Klatzkin'squestion the percentage is up, the percentage of win on the roll is up, not assignificantly as percentage of increase on the rolling program.
Harry Curtis - J.P. Morgan: In terms of the roll itself?
Sheldon Adelson: In terms of the roll itself, soroll was up somewhat at double digits and the win percentage on the roll wasup, not as significantly as we would like to see it, but up. And the bottomline is that the Sands is not been negatively impacted by the opening of the Venetian.And the Venetian, from its first four month in September to the second month inOctober is -- we are extremely happy with the progress in all directions. I am looking at the attendancefigures on the days that we held the first two trade shows on and we were upfrom the week before attendance figures, and from the highest of the month.20,000 to 30.000 visitors a day, on what would have otherwise been comparableto the price two weeks [and that’s one week]. And so we are up anyway from20,000 to 30,000, and at one stage 40,000 during the days these shows wereopen. The exciting part about what's happening is that not withstanding thefact of the Ferry Terminal, we are not yet servicing but we look to servicewithin days. The enormous numbers of peoplethat have still not been in the like six figures, like hundred thousand plus,can make it from the Peninsula to The Venetian in a single day, so what we wereconcerned about the infrastructure considering the absence of light railsystem, that won't we up for few years yet, and the fact that we don’t have anyferry terminal service for Taipa, has an affect on ferry terminal. We’reextremely happy with the number of visitors we get everyday, somewhat in excessof that, which we anticipated, and we’re all quite surprised at that. And we doexpect that when we start the ferry service, it will have direct day tripplayers, people wanting to come to gamble, coming directly to Taipa, we expectthat will have a favorable impact on our mass drop and win.
Brad Stone: Just one think last time I saidabout the same Harry, is that, as we’ve talked about in previous conferencecalls, we have initiated our reduction in the junket commission program. Thejunket programs in Macau are very aggressive.We've got to keep our eyes on it. But, what you saw in the third quarter it wasonly one month of the reduction of the rolling program. Additionally, we’ve reducedpayroll at the Sands, and a run rate based upon what we’ve experienced so farabout $20 million annually, as we got more efficient. Obviously, we just openedthe guest rooms and that happened in the last three days of the third quarterso that has seen no advantage. We also utilized our show roomthere, we’ve created bar rooms, space for parties and we’re going to opening avery high end gaming/night clubs at The Venetian on the 25 floor around the endof the year. The one think that I’m not happywith so far is we are working and it’s part of opening a property, theefficiencies with the Sands. We are looking for reductions in overhead asconsolidate the operations between The Venetian Macau and the Sands Macau. Ithink at this point we haven’t seen more of that yet, but I know there is a lotof ability to mine additional EBITDA out of getting efficient in theiroperating structure, as we get through these opening periods and smooth thatout. So, there are some bright spotsthat really don’t show up in the third quarter, that will start showing threemonths worth of value in the fourth quarter that being the payroll, reductionof junket retention program, the utilization of the asset we just created atThe Venetian, the Hotel Tower as well as a better job lets say, of attackingoperating efficiencies and synergies between the Venetian Macao and the SandsMacao.
Bill Weidner: I’d like to extend what Brad saidearlier about with cooking, we are firing in all cylinders. The mall is goingon all cylinders in the month of September, that’s in the third quarter. So wehave been some stores that would have been in over trends, had they been and ifyou extrapolate what they were doing in the first couple of few weeks of themonth. On the conventional side, it seems to be the attendance, the trade showorganizers were extremely happy and I am surprised that one of them even got alot of traffic, it wasn’t really a trade show, it was an investment promotionfair. But the other one I think got about 30000 attendees and that isfantastic. The rest of them were doing gamebusters when the people were there. The rooms we see a higher room rate, ADRpotential then what we, originally when we originally came up with the visionof the strip anticipated and I dare say that there was a possibility that wecan equal the rates we are getting in Las Vegas at The Venetian Macao andperhaps even exceed them. The good thing about this is, since this is theoriginal vision was mine and I can tell you that it’s clear that we are cookingon all cylinder, the convention, the Congress Center, the restaurants, theshopping, the anticipation of the shows, the sports arena, everything being soldout. We are truly cooking on all cylinders and I would say that the vision ofthe Cotai strip with the opening of the Venetian Macao is in emphatically
Brad Stone: One thing though is now thedialing in-process as I mentioned. If you recall the early days of The Venetianhere in Las Vegas, while we were doing convention business, we are doing roombusiness, we are doing business from this different profit centers, it took usa while to really dial it in to say ok, what are our weak periods, how do wefill in our weak periods with this with that, what are patterns look like, howdo we maximize the value of each of the profit centers. And while we can see that each ofthe profit centers can in fact perform, now we got to figure out, for examplehow do we price the arena when you have Beyonce in the 11,000 seats versus the BlackEyed Peas of 11,000 seats, what do you charge for a ticket for an NBA game,what will the market bear or the higher price tickets surprising and sellbetter than the lower price tickets, so how do we scale those venues. There isso many different ways and we have to try to figure out how each of theseprofit centers can be maximized, while doing well we need a dial all that inwhile then looking at the duplications and the back of house functions and theefficiency so we can then deliver that dialing into maximize operating income.
Harry Curtis - J.P. Morgan: That's all from me guys. Thanks.
Operator: Your next question comes from theline of Celeste Brown please proceed.
Celeste Brown - Morgan Stanley: Hi guys, good afternoon.
Bill Weidner: Hi.
Celeste Brown - Morgan Stanley: Couple of questions for you, yougave the timing for the additional opening on the Cotai strip could you give usan updated CapEx forecast please?
Bill Weidner: Celeste, how much time you'vegot.
Celeste Brown - Morgan Stanley: Well, last year I think you saidthe range was 9 to 12 maybe if you can give us another range.
Bill Weidner: I think that range is stillvalid, probably towards the higher end of that range as we go through it. We’veexpanded the prime part of it is we see opportunity, not only do we build wehave, but we added additional capacity to these elements and so whether we areadding more showrooms, more entertainment venues. The projects are very fluid,but we’re still probably not moving ahead of that range at the $12 billionlevel.
Celeste Brown - Morgan Stanley: Okay.
Brad Stone: Adding more assets as we developour projects in Macau.
Celeste Brown - Morgan Stanley: And we’ve heard some prettypositive things about the anticipation for the Four Seasons servicedepartments. When do you think you’ll be marketing these?
Bill Weidner: What we are in the process ofCeleste is now the government has invited our comment and our development ofthe regime for individual ownership. Currently in Macauyou can essentially sell a leasehold right, but you can’t really have title.So, we’re in the process of developing a regime, which will allow us to sellthat title. And our last meeting with the Chief Executive, he confirmed onceagain and we are moving through the legislature and our lawyers are now workingon that regime. The value of that regime is –some sort of premium to as much as 35% or more on a sale, if you can delivertitle. So, we’re working closely with the government to develop that regime. Wewon’t go into the marketplace until we get a better handle on the timing ofthat process here. And Brad said the product itselfwould be completed somewhere around the end of the year. We are certainlypre-marketing we have hundreds of prospects that have indicated interest. Wejust need to be able to the regime before we can formally begin to actuallysigning contracts.
Celeste Brown - Morgan Stanley: Okay and then in terms of therooms, just so we can calculate it correctly, how many rooms were open for the34 days at The Venetian?
Bill Weidner: It changed throughout the entireperiod, so for the most part I would say that we had an average of about 2200room open.
Celeste Brown - Morgan Stanley: Okay.
Brad Stone: That’s above average, maybe 2300and some of them had it do with furniture delivery, some had do with staffinglevels and just efficiencies. As Bill said we kind of rolled ourselves back,because we saw that we needed to make sure these people are trained, largesthotel by a factor of three that’s ever been be opened in Asia. And now we areup to just about almost 2900 room at The Venetian.
Celeste Brown - Morgan Stanley: Okay. Finally just one lastquestion. In terms of the retail that’s working well for you right now, can youtalk about why it’s working well, is it brand, is it the location and how muchyou think the Four Seasons will help us to stop this now working as well?
Bill Weidner: I think the trader say that thecritical mass of retail is what’s going to help it. And we started off withabout 110 and through the month of September we opened more, I think wefinished in the month of September with about 130. And that will drop justsomewhere between 140 or 150 retailers. And we are opening some more duringanother 23, 30 during the month of November. As we get to the 300 plusretailers, that critical mass will be attracting more and it will make moreattractive as this shopping destination and when we open the Four Seasonshigh-end with 211,000 people that will also be a very significant attraction,because it’s all high-end, very high-end. And I want to make a commentabout rooms. What we are also proving in the validation of the vision Cotaistrip is that as day, each day goes by and each week goes by, the number ofmulti-night stays continues to increase and that’s evident in our numbers whenI just take a daily look at it; the number of daily check-ins is downsignificantly from where it was which means the people are staying and we areachieving higher occupancy rates. So, it means that people are staying longer.And that is one of the things that everybody said, all the doomsayers thatalways seem to follow us. End up wrong and typically end up coughing dust, onlyin Macao they don't stay for more than 1.2 nights, while we are not [closing]that they do and the market is convertible and there will be more and moremulti night stays.
Celeste Brown - Morgan Stanley: Thank you.
Bill Weidner: Thanks a lot.
Operator: Your next question comes from theline of Joseph Greff with Bear Stearns please proceed sir.
Joseph Greff - Bear Stearns: Hi everybody. I was just hopingif you can give us a better sense as, as you look over the next 12 months atVenetian Macao. What do you think the fixed cost is to run that property?Obviously you are going to have the biggest expense it’s going to be the gamingtax which is variable, but how do you look at the fixed operating expense ofrunning that building?
Brad Stone: That’s something we are trying toreally get our hands around Joe quite frankly, as we work into the operation. Ithink there is significant opportunities for us, the fixed cost that are outthere that are variable are things like energy and things that is very expensive,we've got energy committees now together to make sure we dial in as Bill saysin terms of those efficiencies. As I said earlier I think there’s a lot ofsynergy between the two properties that we haven't capitalized on yet. We are just now, as you go througha property opening of this magnitude, you start learning things like averagelength of stage, you start translating that into productivity analysis, whichtranslates into staffing guides. And it's really early for us to tell that, weare pretty efficient operators and pride ourselves, and I think as we mature,The Venetian here in Las Vegas, as we matured atthe Sands in Macao.Part of what we’re trying to do is make sure that we focus in on those thingsand establish service standards that meet the criteria to the quality ofoperation, yet translate that into efficient operating expenses. We aren’t quite there yet. Ourbiggest challenge has been opening the property, and giving a great customerexperience. I think we've been very successful at that. The good news is Ithink we have a lot of road to hoe in terms of making sure that we operate asefficiently as possible. So, I am putting in those tools that quite frankly tosome degree at the opening of a property of this magnitude, and again we are inuncharted territory, here in Macao.This isn’t like opening a 3,000 room hotel in Las Vegas, where there is a manual written onit. There we're learning about multinight stays as Sheldon alluded to earlier. When we first opened the property,we had a lot of one night stays, lot of people from Hong-Kong and Shenzhen. Ifwe had been smart we would have had a minimum two night stay, but we didn’t,crushed ourselves a little bit at the opening. And we’ve recovered now. Welearned something every single day about Macaoand how to make the property work more efficiently for the customer, and how todrive more cash flow out of it. So, just to be frank we got waysto go there, and the good news is, the business is there, the business isgrowing. We will eventually get our hands around the operation, and get pastthe training of people of running 3,000 room, room service department, andhouse keeping departments, and the vile of people going through that casino andmall. The transportation systems that have never existed in Macao before, and conventions, and banquets,that have never existed there before. And we’ll get there and the good news iswe are not seeing it yet in the numbers, so there is a lot of upside for us interms of driving more margins out of our business. Wish I could tell you we’re theretoday, we aren't.
Sheldon Adelson: If you take the cumulativenumbers that we’d talked about, we’re talking about an average of 65,000 peoplea day on average. And obviously on weekends we get a significantly high numberthough. So, getting that many people to be it from the Peninsula, the bordergates are fit to be gangway gated in the Peninsula on the ferry terminal in thePeninsula. They are going to make a big, bigdifference when we open, when we start servicing we get more ferries in to [Pacon]terminal and open the Lotus gate with people around that. So as Brad we arefine tuning the opening and we are learning more about what’s going oneveryday. We are reallocating -- what we are learning is that tour operatorshave become the significant part and the FIT is high, the tour operatorparticipation is high and getting higher and we are learning which category ofrooms are going to be more profitable to us. And how the mid to high-end playwill be profitable when we conventions in. So it’s a learning process now, butwe are very happy that we see a diagonal line going upwards.
Joseph Greff - Bear Stearns: Great and then I have a separatequestion on Singapore.I guess where are you now in terms of the capital budget?
Brad Stone: We are working already throughthat Joe. We have some challenges in Singapore in terms of the coststructure that’s happening in that country and it's well documented thatcertain materials. I think at one point Bill has misquoted saying the costs areup 40%. There are items and line items in our construction budget particularlyit relates to concrete and think like that and sand because of raw materialsthat are up significantly. We are dialing the amount now. It’s going to beabove our original budget by a reasonable number but we think that as we workour way through we are finding that certain aspects particularlysuperstructures in the buildings we are paying a premium for, whereas many ofthe things like mechanical, electrical finishes and all are being rationallypriced in the marketplace. So we will be coming out shortly with some color onthat, but we are working through those issues as we speak. But you can expectto see that project go up in price, because of the realities of thatmarketplace.
Joseph Greff - Bear Stearns: Great thank you.
Operator: The next question comes form theline Steve Kent of Goldman Sachs please proceed sir.
Steve Kent - Goldman Sachs: Just a couple of questions, firstof it sounds like the retail trends as Sheldon, as you put it up in coming invery strong, so could you just discuss your appetite to monetize that asset insome way over the next 12 to 24 months? So that’s the first question. Secondquestion is, just broadly, are you converting shopper’s convention goers, eventgoers to gamblers, can you just talk about that broadly at The Venetian Macao?And then finally just broadly it looks like your revenues came in just a littlebit lighter than our expectations, but obviously the EBITDA came in much lighter,if you added just sort of besides whole percentage do you have any way toquantify the expense of this equation? Sheldon Adelson I think to answer the last onefirst, I think that it’s still too early to fine tune the expenses, graduallyat this stage, but and the first question is, are we going to monetize the readdown. First of all we are not going even think about until we got all the shopsopen and until we stabilize the trends or just get to the point where it’sfull. And we don't see any rush to do this we feel quite confident that the caprate in Asia will be highly favorable andbetter than what we've sold at a 5%, 5.1% cap rate here in Las Vegas. So, we don’t know how to sellthat. We can provide that if want to borrow some money on that separately. Isuppose we could provide that as with collateral, and get more favorable ratesif we isolated that collateral. What were the other questions youasked?
Steve Kent - Goldman Sachs: I think the experience there willbe similar to your experience here, Rob, you have some information, some coloron that too.
Rob Goldstein: Yeah, the thing about the GrandCanal Shoppes here in Las Vegas, we opened with about 20% of the stores openwhich I think is similar to our experience in Macau. We are running at $400 persquare foot.
Bill Weidner: We’ve got about a 30.
Rob Goldstein: Okay, but we opened here lessthan half, less than 40% like Macau. We’vegrown now three times those sales per square foot. Obviously the early numbersin Macau were very good, but I think with bodycount and maturity, more luxury, more jewelry, more watches, more luxuryfashion it only gets better. Our mall is just in its infancy and trading verywell, there is no question we got that mature and grow and grow, with conventions,with special events it gets stronger everyday. The trends have been promising,but our experience in Las Vegastells us that we have much, much better very, very quickly.
Steve Kent - Goldman Sachs: The one question I had about therevenue and then the ability to translate that down to the operating lines?
Bill Weidner : Thank you. Certainly as wediscussed, we think we have significant opportunities to work on our operatingexpenses, you are seeing the first 34 days of a brand new type of operation.But also what you are seeing is the revenue and the quality in the mix of thoserevenues, which you are really seeing a very robust VIP business, which isbelow our margin business, and what’s encouraging is we saw a nice ramp up ofthe mass business in the month of October which wasn’t as evident in the 34days of operation. So, one of the keys to driving profitability at our placeisn’t managing the expenses, it’s managing somewhat the mix. So as we drivemore mass revenues through the property, obviously that takes a lot ofprofitability down, you really don't have a lot of cost other than the gamingtax and most of your other costs are fairly well fixed on the property. So seeing growth in the massbusiness and as we put assets in play like the ferry, as we have bring tradeshows and which drive incremental visitation to the property, as with more themall as a self desolate theaters opens, as we increase the number of boxes fromboarder gates and infrastructure, those things should help fuel the mass visitationto the property. Mass visitation means increased revenues, but good qualityincreased revenues. The VIP business is excellent for us; I don't want todismiss that at all. We do great profitability, but if not the same as mass. So what we would seek to do iscontinue to grow the VIP business, but grow the mass just proportionately tothat and I think that's when you are going to start seeing, when that massbusiness starts maturing, really no different than we saw at the Sands when youopen the Sands Macao back in May of '04. As that business improves we should bemuch more efficient in taking revenue dollars down to the operating line.
Steve Kent - Goldman Sachs: Brad, that's why I was asking thequestion of whether you were getting the shoppers convention goers, the gamegoers to becoming gamblers, because you have plenty of people coming throughthe casino, but is the issue trying to get them to play at the tables?
Brad Stone: Yeah I think it’s a combinationissues. I mean this is exactly the same pattern we saw with the Sands open. Wehad huge visitations as visitations flattened out at the Sands the quality ofcustomer actually improved, we got a rid a lot of the lucky loose and peoplelike that who try experience it. And we are learning things, like last night Ihad a meeting with a guys and we are talking about 5 and 6 and one of thethings we are going to have to address at The Venetian is because you havepeople that are shopping and stuff like that, they've got bags, they've gotthings that all out taken to casino. So surprised nobody has a retail mall ofthis magnitude in Macaoand we realize we have to build infrastructure to telling people have shoppingbags they can park them somewhere for a couple hours to gamble. We make itdifficult so we were sitting here last night in five and six adjusting based onwhat we have learned already at the Venetian to build storage areas right nearthe shopping areas at 5 and 6. We now have to go back and do the same thing outon The Venetian. So it’s -- we certainly don'twant discourage people from getting into our casino, because we won't let themcoming in with bags and we don't have anything as simple as that completesstory of damn thing. So we are going back and addressing that, it’s hard to seethe direct translation, but when you have trade show and then you have 30,000or 40,000 people coming to it, they aren't staying in a hotel, that’s peoplecoming in and fueling that casino floor and they are primarily mass customersand we can see the spike up in business when a trade show comes in or we have amajor concert, those body do translate into mass business. And I think our job is to as withagain, one of the things you do is you open these properties and you learnabout them as how we cross market to mall into the casino, how do we crossmarket the arena into the casino, how do we cross market trade show businessinto the casino. Those are the things that we are good at and that we haven'taddressed yet fully, because of the, just the challenge of opening this type ofoperation in an area that’s never had anything like it before. But those arethe things we are focused on in terms of sending people coming out of the arenato place a bet, coming out of the mall to place a bet and we’ll get there andthat are what we do.
Bill Weidner: To specifically answering yourquestion I was watching the high limit play and the drop during the days of theconvention, assuming that people have stayed all through night, have a highergaming budget and play higher, they are worth more than the average masscustomer there. I did notice although, I can't say that it contract to everyconvention, but I did notice an increase in the high limit play during the daysof the conventions. We need a lot more experience to see to validate that.
Steve Kent - Goldman Sachs: Okay. Thank you.
Operator: Your next question comes from theline of Bill Lerner from Deutsche Bank. Please proceed sir.
Bill Weidner: Bill, are you there?
Bill Lerner - Deutsche Bank: Can you hear me, Scott?
Scott Henry: Yeah, we can hear now.
Bill Lerner - Deutsche Bank: Okay. Yes sorry. I will note that. Venetian 14.7% I think you got togo back to 1999, to get something close and then not even there so, I guessnever seen hold that low at The Venetian Vegas. This is historically, is theresomething usually math is math right, but is there something structurallydifferent about what happened this quarter or might have been going forward,that (inaudible).
Brad Stone: Yeah the guys either.
Bill Lerner - Deutsche Bank: It’s either. Okay, so it’s fine.
Bill Weidner: We can look to most recenthistory and it’s been a nice reversal of that.
Bill Lerner - Deutsche Bank: Okay. That’s great. Same guy that you that (inaudible) in Mexicolittle while ago?
Bill Weidner: No.
Brad Stone: No we won’t see him around for awhile.
Bill Lerner - Deutsche Bank: Thanks.
Bob Rozek: There is nothing, Bob Rozeknothing fundamental, the volume was good. We just seemed like we could win abet, particularly in the month of August, but.
Bill Weidner: No, I don’t think you have to goback that far though, I think that we experienced the same thing in 2002, 3 or4. I think we had these quarters, and the good news is there is lots of volume,lots of non-baccarat, good growth on non- baccarat which is encouraging. And asBrad referenced, it bounced back, it’s bouncing back, and it’s not a big, to meit’s not a big issue at all, a 14% whole.
Bill Lerner - Deutsche Bank: And with the volume, volumeslooked great
Bill Weidner: I just like to point outgentleman and ladies; this is the nature of the business we’re in. Somequarters are good some quarters are not so good. And I like to repeat a quarterdoes not trend make. There is nothing structural; there is nothing fundamentalthat’s changed anything. We just then have a good quarter, that’s the end ofit. We think that that quarter is not lasting. We see what’s going on in April,things are up.
Brad Stone: October anyway.
Bill Weidner: Sorry October and things are up,things were up good and it just the nature of the business. And it makes a goodtrading opportunity for day traders and hedged funds.
Bill Lerner - Deutsche Bank: Hey thanks guys.
Brad Stone: Well that’s all it does. Itdoesn’t change the nature of the business.
Bill Weidner: I just want to close by saying;we have seen all these things. We’ve gone through this before. We’ve been hereat The Venetian and so when the early days of The Venetian talking aboutconventioneers don’t gamble and lots of those kinds of things, exactly the sameretail, sales – it’s exactly the same process repeated again only halfwayaround the world. The good thing about over there is that the initial returnsare much, much stronger then initial returns were here at The Venetia in Las Vegas. So this processof maturing understanding, operating, marketing, dialing in each of thedifferent profit centers to make sure that those synergies maximize their wayto ought more result. And over their in Macao we have lots ofother things that we can put into the mix here in terms of delivering peopledirectly to the back on ferry terminal and more infrastructure to be able tomake this destination even more powerful. We are not hitting at all thecylinders of the physical things that drive people of the building, but yet weare averaging 65000 people a day. We have a big trade show on our NBA thing andwe get over 104,000 people through the door. So it’s a lot bodies comingthrough the door, announce the process of then being able to convert those bodiesand convert those activities to maximize operating income it’s going to take usa while but dial that in. On top of that we get select inthe first quarter we come out of the ship. So it is what it is so and we thenumbers were there, but I think as you dig in to the macro numbers and you lookat the actual kinds of body counts and the actual opportunities there maybe alot of things here, but there are a lot of ponies in there also. And if youreally go through that process you realize the power of what Macao is in termsof its macro growth, the power of the products in terms of the Sands productfor the day trip market near the ferry terminal, the power of The Venetianproduct is a destination product out there on Cotai without the sameinfrastructure that is on the Peninsula. Then as we built infrastructure aroundthe Cotai strip and add more critical mass it just gets stronger and stronger.So that’s I think will close our call for the day we appreciate it, appreciateyou coming certainly.
Brad Stone: You forgot to make one comment,most important thing. Some of our competitors have a habit of picking upthings. So I just wanted to clear, bigger is better, notwithstanding what ourcompetitors say bigger is better.
Bill Weidner: And with that we'll end ourconference for today. Thank you very much.
Operator: Thank you for your participationin today's conference. This concludes the presentation. You may now disconnect.Good day.